Operator: Ladies and gentlemen, thank you for standing by and welcome to Anthem’s Second Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode.  As a reminder, today’s conference is being recorded.
Chris Rigg: Good morning and welcome to Anthem's second quarter 2020 earnings call. This is Chris Rigg, Vice President of Investor Relations. And with us this morning are Gail Boudreaux, President and CEO; John Gallina, our CFO; Pete Haytaian, President of our Commercial & Specialty Business Division; and Felicia Norwood, President of our Government Business Division. During the call, we will reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available on our website antheminc.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Anthem. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors discussed in today's press release and in our quarterly filings with the SEC. I will now turn the call over to Gail.
Gail Boudreaux: Good morning and thank you for joining us for Anthem’s second quarter 2020 earnings call. Since our last earnings review, our business has continued to evolve and respond to the ongoing health crisis and social justice issues facing society. The impacts of these events are profound for associates, local communities, and all those we serve. Over the past several months, Anthem has continued to take bold steps to directly support those who need our help.  Last quarter, we took action to commit $2.5 billion in financial assistance, to ease the burden of COVID-19 among our members, employer, customers, air providers and non-profit partners. The needs are ongoing, and I'm proud of the way Anthem has responded quickly to provide needed support. We remain committed to creating a more affordable healthcare experience for our valued members and customers. To that end, we remove barriers to care by waiving cost sharing for treatment of COVID-19, including coverage for testing, treatment, and in-patient hospital stays. We also waive prior authorizations for COVID-19 diagnostic tests and related covered services. To date, we've paid approximately $500 million associated with COVID-19 related diagnoses. In addition, we provided our associates, individual and employer group customers with a one-month premium credit ranging from 10% to 15% while individuals on our standalone and group dental plans received a 50% credit. We continue to deliver value to our customers by providing them with flexible payment terms, as well as affordable buy down options as they navigate the crisis.
John Gallina: Thank you, Gail, and good morning. Since the inception of the COVID-19 pandemic, we have worked diligently to serve as a trusted partner for our members and care providers. We proactively committed $2.5 billion in financial support, including extended cost share waivers, premium credits, provided grants, and community support. And this is all while rolling out new and innovative solutions to maximize the health and well-being of our members. While much remains uncertain, we're guided by our values and are firmly committed to rectifying further imbalances for the benefit of our consumers. COVID-19 significantly impacted the normal seasonality inherent in our business as a result of the broad based deferral of healthcare utilization in the second quarter. We achieved adjusted earnings per share of $9.20 in the second quarter, bringing year to date adjusted earnings per share to $15.68. The seasonality of our earnings will differ from our historic patterns. And as we have previously announced, we expect to earn approximately 70% of our annual total in the first six months of the year. Relative to our baseline financial expectations, aggregate utilization was 40% below expectations in April and 20% in May, as people nationwide adhered to shelter in place orders. Our June experience, while still early, suggests a utilization recovery to roughly 90% of baseline.
Operator:  For our first question we'll go to the line of Ricky Goldwasser with Morgan Stanley. Your line is open. Please go ahead.
Ricky Goldwasser: Yeah. Hi. Thank you. Good morning. So, you've maintained guidance as you assume some return to normalization in the back half of the year, can you give us some more color on what you're seeing in specific regions where COVID cases are coming back? Obviously, there have been some reports that some of the places are deferring  again, how should we think about the   coming back from being deferred in second Q versus second half?
John Gallina: Thank you, Ricky. Appreciate the question. You know, and it's certainly an understatement to say that there's a lot of uncertainty associated with the situation, but you know, we still have a lot of pent-up demand from the second quarter, and you know, we have extended payment of covering co-pays and deductibles for COVID-19 treatment. And in addition, we're providing reimbursement for PPE for dental providers, as well as other benefits we're providing to the provider community. And while an increase in the COVID and the recent spike we have certainly may cause more deferred procedures, right now, we're not expecting a full shutdown of the system similar to what we experienced in April. And so given all the variables, we still do believe that a reasonable estimate will be that our second half medical loss ratio will be about 200 basis points higher in the last part of the year versus what would be expected under normal circumstances. And I guess the only other comment is to note that we did provide the $2.5 billion of value to the system as a result of what's going on. And if non-emergent utilization drops significantly again, you know, we'll certainly take appropriate actions to help address whatever imbalance exist associated with that. So, appreciate the question, but we really do think that the $22.30 EPS guidance is really the best guess right now.
Gail Boudreaux: Thanks for the question, Ricky. Next question please.
Operator: Next, we'll go to the line of Justin Lake with Wolf Research. Your line is open. Please go ahead.
Justin Lake: Thanks. Good morning. Just a couple questions on Medicaid. Can you talk about your – what you saw in membership in the second quarter in terms of lack of churn versus new membership? How you think about that’s going to progress into the back half of the year? And then any comments on rate pressure and what we've built in for the assumption there into the 2020 guide would be helpful as well? Thanks.
Gail Boudreaux: Thanks for the question, Justin. I'tm going to have Felicia comment, but I think, as you noted, we feel very strongly about the membership gains we saw, and specific to your question, the vast majority were due to the stopping of re-verification versus unemployment and other things that would have occurred during that time. But as we look at our overall membership growth, again, we feel we also gained share during this time as strong brand resonated. But I'll have Felicia maybe give you a little bit more color in terms of the discussions with the states. Felicia?
Felicia Norwood: Thank you, Gail. And thank you for the question. Our Medicaid enrollment in the second quarter ended at approximately 8.2 million members. This was up 566,000 compared to the first quarter. And as Gail mentioned, that was primarily due to the temporary suspension of re-verifications. Our early indications for July as well indicates continued growth in the Medicaid program. We feel very good about our brand and we continue to grow share in the Medicaid space. You know, looking ahead, we believe we're well-positioned to be able to navigate whatever happens in this emerging environment. And the expectation is that we will continue to see Medicaid growth during this time. Roughly 13% to 15% of our members reside in states where Medicaid has  . So, while it's too early to quantify the potential impact, certainly if the unemployment rate increases, we would expect growth in our government business to certainly continue to offset any membership declines that might happen on the commercial side. In terms of your question with respect to rate, you know, we certainly won't disclose the amount of any of the experience rated refunds or rate actions, but as John mentioned earlier, our guidance reflects a reasonable view of both our known and expected rate actions and the experience rated refunds. You know, rates are required to be actuarially sound and we work with our state partners on a daily basis on developing rates that are going to be appropriate.  You know, the performance across our 24 markets varies even under normal circumstances, but as you know, some states are reopening and other states are seeing a resurgence in COVID cases. Roughly 15 of our states today have risk   or   in place that effectively already limit managed care profitability within certain defined ranges and we are in discussions with other states that are also considering these kind of mechanisms, which really provides some predictability for both the states in our own business and really tries to ensure that risk is really properly balanced. We have a long history with our state partners, and we're going to continue to work through this with them, and make sure we are able to provide access to care to our members. And that really remains our foremost concern during this time. Thank you.
Gail Boudreaux: Thanks for the question, Justin. And just sort of reiterating, I think what Felicia said, we feel that it's been very constructive dialogue with the states and you know, it's part of our model, that it's a continuous conversation that we're in with them, but overall from a growth perspective, and where we are from a share we feel quite good about our Medicaid performance. Next question please.
Operator: The next question comes from Stephen Tanal with SVB Leerink. Your line is open. Please go ahead.
Stephen Tanal: Good morning. Thanks for the question. Just wanted to ask on the segments, it looked like the government business, profit dollars, margin rate, you know, kind of maybe benefited more from COVID in the quarter anyway then the commercial side. I don't know if I'm reading too much into that, but just wanted to understand how the pandemic affected the two lines of business? And really separately, just following up on Felicia’s comment just now, I think she said that you guys expect government enrollment to offset any changes on the commercial side going forward? So, wanted to clarify that, maybe get a little bit of context on just the mix shift between commercial and Medicaid and how you guys think about the profit dollars and the revenue associated with those two businesses and what is one commercial life worth on the Medicaid side, for example, that would be helpful? Thank you.
John Gallina: Yeah, thank you for the question, Steve. First of all, in the segment reporting and in the benefit of the deferred utilization, it would be – the deferred utilization actually was a little bit more significant in the commercial market than it was in Medicaid, and then it was the least amount in Medicare in terms of the impact of the non-emergent procedures and the decreased cost structure. However, in the commercial segment, we provided the premium credits to the membership to all of our customers, you know, 10% to 15% on the local business and up to 50% on the specialty business, and the entirety of that was recorded in the second quarter for that entire premium credit. And so that's what is probably the reconciling item in your analysis when you're looking at the quarter-over-quarter is that the premium credits are in the commercial market. And then the commercial market also has the premium cost share waivers for COVID testing and treatment that are part of the commercial results. Associated with the ongoing business and the profitability, we certainly have target margins on all of our businesses. And in the commercial marketplace, you know, the target margins on a fully insured business could easily be 5%, even high single digits, and that could easily work out based on average premium, the $25 to $30 PMPM operating game. However, on the ASO side, the fee revenue is obviously much, much less and a target profit on the fee side could be just $5 PMPM. And then you look over at the Medicaid, well Medicaid you have TANF and you have the higher acuity. There's a lot of variations there, but you know, even at a 2% to 4% op margin, which is our stated op margin for Medicaid, if you utilize the midpoint being 3%, based on the various premium volumes, you have maybe a $12 to an $18 target margin on a PMPM basis. So, as you can see when we lose a commercial member, depending on that if it's fully insured or ASO and it goes over to government, it could actually balance out quite nicely. That's one of the reasons that we continue to talk about how diversified our business mix is and how resilient our membership is, is because the profit margins on the various lines of business really help offset each other when there's a shift between the various areas. Thank you for that question.
Stephen Tanal: Helpful, thanks.
Gail Boudreaux: Stephen, just a little clarification on the membership comment you said about the offset, I just want to clarify a couple things. One, as we look at our overall commercial enrollment, as we shared in our prepared remarks, we were down 290,000 lives, but as you think about unemployed appointment that was fairly muted and particularly so as our risk based lives. So, that was, we do expect, we think that furloughs have dampened that impact over the course of your day, but we feel are very resilient, quite frankly in our commercial business, and we're really pleased that our sales offset our lapses, actually, in the quarter as we look at our risk group business, so another sign that I think our teams have really put out some affordable products and have been doing a nice job of managing through this. But on overall basis, you know, we've often talked about having this large catcher's mitt of opportunity. I think clarifying what Felicia was saying a little more specifically, as you look at the quarter, and I shared in my remarks, are Medicaid outpaced our risk lives by 10 times, so clearly offset much of that. And also it's quite compelling when you're trading risk lives for fee based lives. So, a lot of our losses came in our self-funded ASO customers and we were able to generate much more in our risk life. So overall, we do expect as unemployment continues to lose more commercial lives. So, I don't want to leave you with the impression that we won't, but overall, we feel we had a very resilient catcher's mitt across our book of business. So thanks for the question. And next question please.
Stephen Tanal: Thank you.
Operator: For our next question we’ll go to A.J. Rice with Credit Suisse. Your line is open. Please go ahead.
A.J. Rice: Yeah, I guess the first thing is a tough one there, but anyway, good to hear from everyone. Maybe I'll just ask about Ingenio, obviously the ramp up and profitability was a big part of the story this year, how are you doing relative to your expectations there? How's the COVID situation impacting trends that you would have otherwise expected to see in a normal year and any comment on the selling season for the PBM as we get toward the end of that for 2021?
John Gallina: Good morning, A.J. and thank you for the question. You know, IngenioRx is actually doing quite well and has really done a nice job of meeting our expectations. As you know, we really are in the Ingenio swing of things a full-year earlier than we had expected to, you know based on the original timeline of the ESI contract and being able to get out of that a year ahead. And so 2020 is actually a run rate year, as opposed to an implementation year. And, you know, in terms of the profitability itself, we made about 350 million in first quarter, 304 million here this quarter. And, you know, there's really a few key things going into that. You know the $4 billion in savings that we got from the better contract with CVS, and we've always talked about returning 20% of that to the shareholders, and – which would be $800 million. Well as we've gone through the first half of the year, and really tried to optimize and maximize the situation, and we believe that we're going to actually return closer to 900 million of that value throughout the course of 2020, and be part of our run rate on a go forward basis. Also Ingenio includes the shift of 75 million to 100 million of operating gain related to existing self-funded pharmacy customers that was previously recorded in the commercial segment, and is now being recorded in the Ingenio segment. And so that's all part of the situation. And then, you know, certainly any revenues or profits from third party business are included in Ingenio as well as that’s helping with the overall profitability of the segment. And you know, the first quarter was benefited by the refill too soon relaxation of that edit. And we had an impact there that helped the first quarter to be, maybe higher than a run rate type basis, but you know, we really do believe that the second quarter is a good indication of what the run rate could be, maybe even a little bit better because as scripts, while maintenance scripts work consistent in the second quarter versus historical patterns, new scripts were down 10% to 15% in April. And so, actually the second quarter is probably the low end of a sustainable level for engineer for the future. Thank you for the question.
Gail Boudreaux: In terms of the selling season, A.J., you know, it's been an interesting operating environment given all the change and I think we shared this in the last quarter, things are, I would say at least slightly delayed as customers try to work through their own stability across their business. While I think it's still early, I would say that our pipeline is still quite good. We are seeing some delays and overall decisions to move from 2021 to 2022, but overall, the sales cycle has been pretty active. We've seen, you know an increase year-over-year in that pipeline. We feel that one of our best opportunities is to embed IngenioRx in our own fee-based business and that's been going well. We're also pleased that we'll be adding Blue Cross of Idaho as part of our Medicare base in . So that's a nice add as well, as you know, we brought on the commercial business this year as part of the transition. So overall, I think we're probably going to expect some delays in the overall decision making for our largest customers, but we still feel very compelling sales proposition, particularly as we added to our self-funded business this year.  Thanks for the question. Next one please.
Operator: Next question comes from Sara James with Piper Sandler. Your line is open. Please go ahead.
Sara James: Thank you. Could you talk a little bit more about the change in assumptions impacting DCP? Did the completion factor assumption move? Are you are you getting those a little bit slower and was there any impact on  that assumption change?
John Gallina: Thank you, Sara. Great question on days and claims payable, and as we said that, days and claims payable is up 4.1 days, sequentially as well as 6.9 days year-over-year. And, you know, the days and claims payable is a function of many things and at time some of those changes can impact DCP without impacting the income statement, and we certainly have part of that going on with the way the math works. But we have seen an elongation of the amount of time it is has taken providers from the point of service to actually submitting the claims to us. So, you know, the cycle time of date of service to claim submission has gone up a couple days across our entire book of business during this pandemic, and you know, a lot of reasons for that, but really that would impact the days in claims calculation, all else being equal. Then also, given the fact that that occurred, I mentioned the conservatism in the prepared comments. We have then further made the completion factors a bit slower, given the uncertainty associated with the billing patterns that we wanted to ensure that we were totally covered. And, and so that would have caused our medical loss ratio to be a bit higher and our DCP to be a bit higher, and if it turns out that we need that we are fully covered. And if it turns out that there's a bit of conservatism, then that would be great. And we'll have some releases later in the year in the next year when we have more transparency into the situation. So, all those things taken, you know, then we also were able to have very, very solid cash flow as a percent of earnings as a result. So, I think they all point to very high quality of earnings. Thank you for the question.
Gail Boudreaux: Next question please.
Operator: Next question comes from Joshua Raskin with Nephron Research. Your line is open.
Joshua Raskin: Hi, thanks. Good morning. Question around the commercial membership, I don't know if it's easy to answer, but do you have a sense of how many of your members at June quarter-end were unemployed or furloughed, but still receiving benefits? And I'm curious if there's any difference in your view, the ISO book versus the risk book? And then my real question is more around in that commercial book and the current environment, is it impacting your ability to – that strategic initiative to sell more services to existing members?
Gail Boudreaux: Thanks. Josh. I’m going to ask Pete Haytaian to answer. Please, Pete.
Pete Haytaian : Yeah. Thanks Josh, for the question. And as Gail said, the membership in the quarter ended up a lot better than we had originally expected with the broad unemployment. And as you refer to a big, you know cause of that was furloughs in terms of, you know, having deep insights to with respect to the exact amount of folks that are furloughed, I don't have that, you know, information at a precise level. So, I don't want to sort of make an assumption associated with that, but it definitely has been a big factor. The other thing that I had mentioned that's noteworthy is the makeup of our commercial book, which is really disproportionately in less risky segments. So, we have as you know a lot of state and government business accounts, as well as providing services for a lot of folks and essential services. So, we feel really good, you know about that. In terms of up-selling and selling more value into our ASO accounts, we have seen a bit of a slowdown when we talk about on the ASO side, improving our margins and going from 5 to 1 to 3 to 1, and you hear us talk a lot about us up-selling those services. And prior to COVID occurring, we were on a very strong path. I could say with great confidence that we would have likely, you know, been at around the 4 to 1 level. So, slightly ahead of, you know where we wanted to be, but as Gail noted, you know, when you think about things like pharmacy and you think about other, you know, value-added services that we provide, and that we're up-selling there has been a bit of a slow down because of COVID and a hesitation and folks deferring some of those decisions into 2021 and 2022. So, we have seen a little bit of a bump in the road, but as it relates to moving forward, we are very confident as we – on our path to the 3 to 1 and the value proposition is really selling. And as we are in COVID, we continue to innovate and deploy new programs. For example, you know, when we acquire a new asset like beacon, it creates a lot of additional opportunity for us to sell, for example, behavioral health services. So we feel very good about long-term. 
Gail Boudreaux: And Josh the only other thing I'd add is, we've seen really strong retention of our accounts. So, the in-group attrition is obviously driving that, and that gets your question around furloughs versus you know, downsizing, and then the second thing and I'll just reiterate it, and I think the commercial team has really done an incredible job coming out of 2019, but also into this year, that our sales are outpacing labs. So, despite the environment, particularly in our risk-based business, we're continuing to see traction of the new product offerings and the segment focus that we put in under piece leadership. So, I think those are all contributing as well as I think just the makeup of our book is helpful there too. Next question please.
Operator: For our next question we'll go to Stephen Valiquette of Barclays. Your line is open. Please go ahead.
Stephen Valiquette: Great, thanks. Good morning, everybody.
Stephen Valiquette: So, as we think ahead to the upcoming Medicare advantage annual enrollment period starting in October of this year for 2021, which is now really not that far away, just curious if you have any preliminary thoughts on whether you expect the overall MA market to see any disruption in enrollment growth due to COVID? Or do you think with greater technology and other factors, the industry can still overcome the risk of fewer face-to-face meetings with brokers, salespeople, etcetera, and still see MA growth in-line with historical averages? And can you talk about what Anthem is changing to combat this risk for your own Medicare growth outlook for next year? Thanks.
Gail Boudreaux: Yes. Thanks for the question, Steve. Let me offer a few comments, and I'll ask Felicia, who leads that business to provide more detail. You know, we did, when the pandemic originally hit, we did see a slowdown in sales just because historically it has been face-to-face, but we've actually she recovered very nicely since over the last few months and I think, working with our brokers and others, we've been able to really put in much more direct selling and channels where there isn't as much face-to-face. So we've been working very diligently and as you look at our growth, you know, we've had very strong growth last year over 20%, and this year, quarter-over-quarter up 17% over prior year and 13% year-to-date and expect to continue to see the alternative methodologies we put in place. I’ll ask Felicia to comment particularly about how we're ensuring the safety as well as how we're engaging with our Medicare Advantage members in particular. Felicia?
Felicia Norwood: Yes, thank you, Gail. And Steve, thank you for the question. As Gail reference, we've seen strong performance in our business. We certainly had to pivot in-light of COVID and we saw a brief slowdown in our sales soon after COVID. But, you know, sales have actually picked up since that time and our early read on July membership indicates that performance is certainly improving as well. You know, the safety of our associates is certainly a paramount concern, and so, it's the safety of the seniors that we serve. So, we are fully prepared to adjust our sales processes accordingly in-light of this pandemic. You know, in fact, we are expecting that more than 50% of our sales activity will probably be virtual for this year's AEP. Similarly, I would think that more of our agent engagement and training activities are going to be held virtually as well. So, you know, much of AEP activity is going to depend on CMS guidance as the future of COVID remains uncertain for all of us and that guidance is changing every day and we're closely monitoring that guidance as well. So, we are fully prepared and proactively investing so that we can make sure we are prepared to support agent engagement and our sales activity through any channel that the member wants to buy being very mindful of the changes that are ahead of us, but feel very prepared to be able to continue to deliver the strong sales performance in this new environment, including the virtual environment, which will be in our AEP as we head into 01/01 of 2021.
Gail Boudreaux: Next question please?
Operator: Next, we'll go to Ralph Giacobbe with Citi. Your line is open. Please go ahead. 
Ralph Giacobbe : Thanks, good morning. You know you talked about DCP up and reserves building, but, you know, the expectation that costs essentially come back in the second half and obviously lots of uncertainty out there. You know, unfortunately, you can't really take a wait and see approach to pricing for 2021, so I guess at this point, what can you tell us about your approach to pricing for the commercial book next year and maybe assumption of pent-up demand and perhaps acuity that timing wise may push into 2021? And then, along those lines, how have conversations gone with employers? And do you expect movement or switching next year? Thanks.
Gail Boudreaux: Pete?
Pete Haytaian: Yes, thanks, Ralph. Thanks for the question. I appreciate it. I think, you know a majority of – we talked about this last quarter, but a majority of our book renews in January, so we certainly do have the luxury of some additional time before we finalize rates. That said, we are obviously closely monitoring the situation. We're considering all factors, many of which you mentioned, from our expectation on deferred utilization to electives to the cost of treatment and the cost of testing, and we're really, you know, using the best information we have before us at this time. I think another important factor; we all know that the HIF will be going away in 2021, so that is certainly a factor that serves as a buffer. Overall, we're going to remain really balanced, and most importantly, we are not going to be short sighted. We're going to remain disciplined with respect to pricing and we're going to price to our view of normalized forward trend. As it relates to our conversations with commercial clients and growth, it's going really well. Our value proposition is selling through. You know, obviously, as Gail alluded to when she was talking about Ingenio, and other parts of our business, as it relates to growth in the back half of 2020, and as it relates to some decisions for 2021, as you'd expect, there were some deferrals.  So for national accounts, for example, we had some expectations of some pretty big accounts that we thought would come through in 2021 that were deferred to the 2022 cycle, but importantly, you know, as it relates to just our sales cycle currently, and that which we feel good about into 2021, we do feel good about growing groups. I think the most significant factor and unknown right now is the impacts of in-group change, that has been the biggest driver of our membership attrition, and so obviously, there's a lot of factors associated with this and we can't be precise about it. But we do feel good about growing groups going into 2021. And then importantly, believe it or not, even though we're in the last 30 or so days of our selling cycle for national, already having conversations about 2022, and the pipeline for 2022, you know looks very good as well.
Gail Boudreaux: Thank you. Next question please.
Operator: Next, we'll go to Kevin Fischbeck of Bank of America. Your line is open. Please go ahead.
Kevin Fischbeck: Great, thanks. Just one last question about the exchanges, can you talk a little bit about what you're seeing there as far as membership trends now and if there's any data on the, you know, acuity of those ? And then, how you're thinking about next year? It does seem like more competitors are getting onto the exchanges, any view on preliminary rates and whether pricing looks rational for next year? Thanks.
Gail Boudreaux: Yes, thanks for the question, Kevin. You know, I think as we look at the individual market today and the overall individual exchange, it's been pretty consistent. And as we shared, most of our membership growth has come from the re-verification and we haven’t seen – we've seen some small pickup in individual around the ACA-compliant plans, but overall, we have not seen dramatic increases across the book of business and we think a lot of that is because there's sort of a delay between when people either they're on furloughs or then they go off  coverage and there's a delay in the timing. In terms of our strategy, we've stayed really consistent. We expanded in certain geographies where we felt it made sense. We've stayed in our footprint overall. I think it's too early to plan on acuity because again, the book hasn't really significantly changed very much. We haven't seen significant growth because of unemployment. So, I think those factors are important. As we think about the future, we've been really disciplined in our individual exchange strategy and we feel good about that. We're going to continue it and we'll look to expand in areas where it makes sense where our footprint is strong and where we think that we obviously have a strong Blue advantage given our brand and the network configuration that we have. So overall, you know, I think we'll look for modest expansion. Our strategy has played very well over the last few years and we'll continue with it. We've got teams focused on that business and deep analytics. So, thanks for the question. Next one please?
Operator: Next question comes from Gary Taylor of JPMorgan. Your line is open, go ahead.
Gary Taylor: Hi, good morning. Just want to ask a little bit more about, Gail, your thoughts on commercial market? You know, I heard and appreciate all the comments about, you know, how well the catcher's mitt is performing so far. It definitely is and the fact that your book of business is a bit differentiated, better positioned, but, you know, we still sit here in an environment where national unemployment is up 750 basis points. There are expectations that that moves higher and I don't think any of us would have guessed that, you know, you'd only have, you know, local group enrollment down, you know, 1.5%, you know, sequentially and another large payer, you know, down 1% and change sequentially. So, I know you're contemplating that that, you know, logically will deteriorate further, but I guess, big picture, you know, is this all just federal stimulus dollars supporting these temporary furloughs? Do you see a quarter where there's an inflection point where the stimulus dollar’s fall off and this really accelerate? And could you just give us a little more color on how the last few months have developed? Has the commercial risk enrollment just slowly deteriorated and July was down even a little more than June? Or has there been relative stability in those declines of June and July? 
Gail Boudreaux : Yes, well, thanks for the question, Gary. There's a lot in there and I think – you know let me start with as it relates to the remainder of the year, we do – and I want to be clear, we do expect further declines, you know, assuming the economy continues to operate at less than full capacity. In terms of the dynamics of very unusual set of circumstances, and it's hard to really predict, so as we think about 2008 and the deep recession that we faced then and, you know, we've obviously done a lot of modeling, and, you know, trying to understand where our unemployment rate is. And at this stage, you know, part of the reason we don't have full year guidance on enrollment is because of that very factor. There are so many things that are puts and takes in it. But as I think more broadly about our business and what's different and – you know, I'll go back to a couple of key things. One is, the mix of our business is different, that we are much more resilient in terms of the type of groups that we have. Two, I do think that, you know, our focus on affordable product offerings and what we’ve done to really work with our local sales teams to reach out to our brokers to provide solutions, whether it's the premium credits or some of the opportunities to help them make sure that they can find the right products that meet their price point. Our retention is really strong. You asked about sort of, are we seeing, you know, acceleration or changes into July again early, but early signals are really strong. There's – we're not seeing any real changes at this stage. So, I think that resilience is showing up, but again, you know, people are still under furloughs. We can't predict exactly what's going to happen when they come off. It will depend on the strengthening of the economy and what happens there and what employers decide to do. So again, while we are predicting further declines in the commercial business, I do think, overall that our team has – I give our team a lot of credit. They've done a really nice job of finding solutions to keep employers with their employees insured under our programs and give them options, and I think, we didn't have that years ago and that's really one of the big differences, a real broad portfolio of offerings. So hopefully that answers your question, but it gives you a little sense that we feel that we have – you know we've provided solutions to employers and that's been one of the reasons that – and we also expect retention has stayed very strong and that's been a help. But again, in group attrition it’s the one thing that's very hard to predict through the rest of this year. Next question please.
Operator: Next, we'll go to the line of Whit Mayo of UBS. Your line is open. Please go ahead.
Whit Mayo: Hey, thanks. I'm just curious if you're seeing any changes in the stop loss market for 2021, not sure how employers are approaching, you know, any coverage changes? What the reinsurance market looks like? Whether or not employers are looking for, you know, more or less protection? Just not sure I have a really good grasp on what this means through the renewal cycle.
Gail Boudreaux: Yes, thanks for the question. In terms of trends and things that we're seeing, we really haven't seen a whole lot of difference in that marketplace. It's been pretty consistent. You know, we have a dedicated team that works on stop loss and focus on that both across our business and also offering to our, you know, self-funded clients. So at this stage, no, no real significant changes or trends. Next question please.
Operator: Next, we'll go to George Hill with Deutsche Bank. Your line is open. Please go ahead.
George Hill: Yes. Good morning, guys. And thanks for taking the questions. And John, I guess first, I have kind of a clarification, did you say that you guys took the entire $2.5 billion in premium credits and other subsidies during the quarter? And I guess should we effectively – should we think of seeing, you know, this kind of a contra revenue account from how the revenue was reported? And then, kind of my follow-up question to that is that when you think about the utilization growth expectations you outlined for the back half, I was thinking that you guys were going to spread the $2.5 billion out over the year. If that's not the case, I guess you guys should have been expecting a couple hundred basis points of what I would call net utilization growth as opposed to kind of gross utilization gross trying to net it up – trying to understand the interplay between the numerator and the denominator, if you can see where I'm going here?
John Gallina: George, thank you for the question. I appreciate the opportunity to clarify anything that maybe could have been stated a little bit more clearly earlier. So, you know, the $2.5 billion is comprised of many different aspects. There's certainly things that we're providing to our customers, certainly things we're providing to members, things we’re providing to providers and support we're writing to the community. And they all are different timing and associated with when they're being incurred, not all of which will hit the income statement as some of them are various grants and loans to providers in terms of providing liquidity and value to the system. My comment earlier was related specifically to the premium credits in the commercial marketplace that entirety of the premium credits were recorded in the second quarter. However, part of the $2.5 billion also encompasses paying for all of the waivers and deductibles and various other out-of-pocket costs that would have been incurred associated with COVID testing and COVID treatment, and obviously, that will be incurred throughout the rest of 2020. Obviously, anyone that has COVID diagnoses for the last six months of the year, there's an incremental cost to us associated with that that is in the $2.5 billion. And then, also we're providing, for example, a $10 PPE credit to every dental provider for every dental visit that occurs for the next few months. So obviously, that will be recorded in the third quarter as well when that's incurred. So, you know, the – you know a lot of the things that we've done for the community, including the $50 million foundation funding associated with the social issues, that was all recorded in the second quarter. So a lot of moving parts there, but there is a significant amount that's going to be incurred in the latter half of the year. It's just that the premium credits on commercial were all recorded in the second quarter. And hopefully that clarifies your question.
Gail Boudreaux: Next question please.
Operator: Our next question comes from Robert Jones with Goldman Sachs. Your line is open. Please go ahead.
Robert Jones: Great, great. Thanks for the question. Just two quick clarifications at this point. One back on Ingenio, you know, I know the scripts that you guys noted into your quarter were down, you know, pretty meaningfully. I think people will understand the dynamic there, but, you know, revenue in Ingenio was actually up sequentially. So just want to make sure I understand the dynamic at play there and how we should think about that for the balance of the year. And then, I guess just in a similar vein, you know, net investment income took a decent step down the quarter, just was curious if there was anything one-time in nature there? Thanks so much.
John Gallina: Yes, thank you for the question. And yes, there are some one-time issues going on. Related to IngenioRx and I had made comments earlier about the profitability and just how well it's performing, I just want to make sure that everyone has some context to this question and the answer that within the PBM industry, that PBMs are able to recognize as product revenue, as well as cost of goods sold, the cost of drugs that are incurred by non-risk business, so that would be all of our ASO customers and the script volume that those customers are incurring we are grossing up our income statement in accordance with appropriate PBM accounting for the cost of goods sold and the product revenue. And, you know, one of our overall strategies on our 5-to-1 to 3-to-1 is to increase the penetration rate of ASO for how many of them utilize PBM services. And yes, we certainly expect to see continued growth in product revenue as a result of increasing penetration and – or even in these uncertain times. So, you know, that's really a key factor, a key element of that line item. Not much – no income statement effect in terms of bottom line as those items offset each other, but we should continue to see growth in revenue. Associated with investment income, you know, very clearly there's some one-time issues that have occurred in the marketplace, but first of all, I just want to make sure everybody's clear that about 90% of our portfolio is invested in high-quality fixed maturities. And, you know, back in March and April, you know, we made the decision as part of trying to enhance our liquidity position to not reinvest our positive cash flow and to build that up so that we could have access to the liquidity immediately. And so that actually put a drag on the investment income we would have earned otherwise. And then, the Fed, you know, dropped rates a couple times early in the year, 150 basis points in total. And so, obviously, that impacted the new money rate associated with investments. But the most significant difference is really the third one and that's the fact that we're also invested in alternative investments. You know, it's a nice diversified strategy that includes investments in private equity, core real estate, our diversified credit and in energy. And any changes in market value in that on mark-to-market  through the income statement immediately, and the alternatives did fairly well versus the broader markets, but, you know, energy was the worst performer. And what you're seeing on the income statement in terms of net investment income is the mark-to-market impact of the alternative investments changing our second quarter trajectory. I think you should expect that for the rest of the year that our investment income will exceed a couple hundred million dollars per quarter more in line with historical results, but thanks for the opportunity to clarify that.
Gail Boudreaux: Next question please.
Operator: Next question comes from Lance Wilkes of Bernstein. Your line is open. Please go ahead.
Lance Wilkes: Yes, I was wondering if you could talk a little bit about the Medicaid pricing outlook as you're looking out into 2021 or kind of the rates involvement there. And if you could tell us a little bit about discussions you've had to date with states and maybe just help us to, kind of scale understand the magnitude of rate cut proposals at a state level and maybe the process there? Thanks.
Gail Boudreaux: Felicia?
Felicia Norwood: Sure. So, when you think about our Medicare pricing outlook for 2021…
Lance Wilkes: Medicaid please.
Felicia Norwood: Oh, Medicaid. Oh, you know, Lance, we are certainly in the middle of our rate discussions with our state. About 50% of our states have rate discussions for January. So, half of our state is for January state. In-light of everything that's going on right now, you can imagine there's quite a lot of fluidity in the conversations we're having with our state partners. Now, when you take a look at where we are, the bottom line and foundationally rates are always require to be actually sound. And as you think about our portfolio, which is 24 states across the country, we are engaged in ongoing discussions with many of our state partners. Many of those partners, Lance have asked us to provide regular updates with respect to what's going on a month-to-month basis, and some of those states have essentially said they want to continue to see what's going on with respect to our populations as we head between now and the end of the year. So, we will continue to engage in dialogue, which really is almost on a weekly basis with our state partners around what's going on with respect to performance. And we certainly would expect that utilization will pick up in the back half of the year. When it's all said and done, this is a long game. And certainly performance in any one quarter won't reflect what we expect to see in our population over the course of the year. And our state partners right now , are very focused on what's going on with respect to access to care with our members, and trying to make sure that members are taken care of during this time with respect to all kinds of needs, but particularly behavior health. So, as we continue these discussions between now and the back half of the year, we are engaged in our ongoing processes with our state partners. We are regularly exchanging information from our perspective with respect to performance, what we are seeing with respect to those new 566,000 members that I reference, what the performance and acuity of that membership looks like, and what expectations should be between now and the back half of the year. So, this is going to be an iterative process with our state partners and as we continue to learn more about the virus and the impact on our business, we will make updates with our state partners and they will do likewise with us. So, thank you very much.
Gail Boudreaux: Next question please.
Operator: The next question comes from Matthew Borsch of BMO Capital Markets. Your line is open.
Matthew Borsch: Thank you. I was hoping you could just talk about what as you, you know, had said that I think the healthcare spending you're seeing was at about 90% of normal during the month of June. Can you give us a sense, I imagine Medicare is lower as a lower percentage offset by commercial and Medicaid, but you know, within that, is it more commercial, more Medicaid, just any additional detail that would be really interesting?
John Gallina: Yeah, thanks, Matt, for the question. And just to reiterate a comment that I made a little earlier is that the most significant impact of deferral of procedures occurred in the commercial marketplace, and then Medicaid was in the middle and then Medicare had much, much less impact on the deferral. And we, as we said that there is another spike in COVID here in July, we're actually monitoring it very closely, trying to understand what the impact of the deferrals are and how the pent-up demand is impacting as well. And so, you know, but like we've seen an increase in procedures such as, joint replacement surgeries, and other procedures, some things can only be delayed so long until the pain or the severity is so significant that the person is going to go in and actually get the procedure. So, a lot of moving parts there, but, you know commercial has the most significant impact and Medicare actually has minimal impact here as we head into the third quarter.
Matthew Borsch: Okay, thank you.
John Gallina: Thank you.
Gail Boudreaux: Thank you. Next question.
Operator: Next question comes from Dave Windley of Jefferies. Your line is open. Please go ahead.
Dave Windley: Hi, thanks for taking my questions and squeezing me in. I was wondering if the COVID crisis has brought to light any cost structure changes that might be of a more permanent nature. So, for example, things like real estate in the SG&A line, or perhaps co-pay structures or payment of virtual visits at parody, things like that in the medical cost structure, just looking for things that endure beyond the crisis?
John Gallina: You know, Dave, those are great questions. And certainly, it's probably premature to declare specifically what things are going to look like, but I do agree with you that we are looking very closely at our real estate footprint and the virtual environment that our associates are in, and just how proud we are of our associates that we've been able to maintain productive and efficient workforce during this timeframe and really take a closer look at that for the future. Telehealth clearly is here to stay. And it's really helping us find the right setting. And it's really all about getting the right care, at the right time, in the right place for our members, and how we're utilizing the various virtual engagements in the digital type capabilities that we've been – we've been creating as well. It's very clear that those are here to stay. And so it's going to be a lot about optimizing those things. You know, ER volume is down. I think we've seen about 50% of commercial ER utilization is actually non-emergent, and so that can actually be a positive to the healthcare trends in the future as we really get that right. And find the sweet spot of that. So, great questions and things that we're talking about on a daily basis here.
Gail Boudreaux: Yeah. Thanks, Dave. And just to reiterate what John said, we're obviously looking at our entire enterprise, and we always take a look at our admin expenses and where we are, but importantly, digital health is here to stay, and we've seen a real acceleration in that scenario. We put quite a bit of investment and so we feel very well-positioned. Next question please.
Operator: Our next question comes from, excuse me, Steve Willoughby with Cleveland Research. Your line is open.
Steve Willoughby: Hi, yes. Two questions for you. Thanks for taking my call. You know, first, John I was just wondering if you could follow-up briefly on Ingenio, you made a comment about the additional $100 million of flow through to shareholders, just wanted to confirm that that approximately means roughly $500 million of earnings upside from Ingenio or cost savings from Ingenio relative to your initial expectations.
John Gallina: I'm not – so, I didn't quite follow the 500. Just let me let me clarify the Ingenio numbers. You know, back 90 days ago when we gave guidance at the beginning of the year, we talked about the $4 billion savings on the contract and that at least 20% of that would . So that would be your 800 million. We've raised that today to approximately 900 million. In addition, the Ingenio reporting segment includes business that has been Anthem business historically that has been recorded in the commercial business division. And that's where we had the PBM services for our ASO customers that actually we had contracted with historically to provide PBM services. And that $75 million to $100 million per quarter of op gain that had previously been in the commercial segment that starting in 2020, starting in January of 2020 is from reclassified, those members have been reclassified and are now reflected in the IngenioRx segment. And so those two things are the vast, vast majority of the earnings in the Ingenio segment. And the other things in the  segment would include third party business, we're the PBM for another company or other business that we have with third parties, but that is a very small and the overall profitability of the segment. Hopefully that clarifies your question.
Gail Boudreaux: Next question please.
Operator: The next question comes from Charles Rhyee from Cowen. Your line is open.
Charles Rhyee: Yeah, thanks. Thanks for taking the question. I wanted to follow up from earlier on talking about the membership and I think as I've mentioned that about the attrition and commercial being less than expected because of sort of the enhanced benefits, which I think you were referring to, but – that you expected to pick up in the back half of the year. You know, related to that, are you seeing this membership shifting around into areas like the exchanges or an uptick in COBRA? And what would you expect to see if enhanced benefits are extended? Because it seems like your guides assumes that they end here in July. So, and if those aren't extended, do you see them – then the membership, you know, shifting more into Medicaid? Thanks.
Gail Boudreaux: Yeah, thanks for the question. There's a lot in there. And you know, just given that we're not giving guidance, part of this is there's so many moving parts, but I'll give you a little bit of color. First on COBRA, we really haven't seen any increase in COBRA. It's very, very low, just given the cost structure of Cobra. So, that hasn't changed at all very different from 2018 or 2008 rather. In terms of your other questions, as I mentioned earlier on a response, the exchanges have not seen a significant impact because of unemployment. So it's been sort of the normal growth pattern that we expected and the exchanges and again, we do think there's just some delays. I really can't comment on, you know, furloughing and what employers are going to do relative to unemployment. Clearly, we've made some commentary that we do think that we'll see attrition increases in group increases over the course of the back half of the year. You know, our expectation is that the unemployment rate improves at the end of the year to roughly, you know, a little over 10%, but that makes it challenging to reasonably project the impact of enrollment at this time. But again, you know, I think really what we're seeing in our current results is the result of our existing business segments executing strategies to keep retention high and give employers options to keep people enrolled. So our group retention numbers are high and we're seeing the attrition is inside of groups and those are based on the employment decisions that are occurring. Thanks for the question.  Next question please.
Operator: Next question comes from Frank Morgan of RBC Capital. Your line is open. Please go ahead.
Frank Morgan: Yes, a real quick one. I was curious if you could give an update on the grace periods granted in your commercial segment? I think last quarter, you mentioned it was about between  in the quarter and maybe ended at around 3%. Any updates on the second quarter or maybe how you're doing in June or July? Thanks,
Gail Boudreaux: Sure. I’ll have Pete answer.
Pete Haytaian: Yeah, thanks for the question, Frank. We obviously, you know, recognize these are unprecedented times and ever since COVID started, we've been focused on partnering with our employer and broker partners to really see this through together. And as you alluded to, we instituted a variety of approaches, including grace periods, but also other payment options. All that said, we're very encouraged with where we are with collections. You mentioned that last call, I mentioned that about 1% of premium as representative of groups that typically utilize grace periods. And at that time, our expectation was, with COVID, we could see that, you know, creep to 3%, but our collection rates actually local a lot more like a normalized environment pre-COVID. And in fact, in the last couple of months, we've seen an improvement. When you look at, for example, the small group segment, which is indicative of a lot, it's really, really held up well with premium payments, really following normal patterns. And then with the overall book – overall makeup of our book being skewed to essential services, we're also seeing, you know good payment patterns there. So, overall, that's been a real positive development.
Gail Boudreaux: Great, thank you. I think we have time for one last question.
Operator: And our final question comes from Mike Newshel of Evercore ISI. Your line is open. Please go ahead.
Mike Newshel: Thanks. Since the Medicaid enrollment growth you're seeing is being driven primarily by the suspended re-verification, I was just wondering if you could confirm whether that would be a margin tailwind, as well since those enrollees would otherwise turn, you know, tend to be relatively healthier. So, essentially the reversal of the margin pressure, when re-verification push enrollment down and when re-verification does resume at some point, you know would you expect to see that margin pressure again or now that there's some data and a track record, is there potential to work with states to mitigate the effect and rates faster the next time? Thanks.
John Gallina: Yeah, no, thank you for the question. And, you know, one of the things that we've always said about the Medicaid business is that it is typically that the acuity and the risks that we have in a particular quarter, and the revenue that's recognized associated with that risk almost never match. Just having out of period adjustments and true-ups and retroactive rate increases and decreases etcetera is just a way of business within Medicaid, especially when you have such a large and vast portfolio of states which we have. But your point is very well made, that the overall acuity – you would perceive the overall acuity of those who members to be a little bit better because when we lost them a year ago, it did change the remaining acuity. So clearly, we will continue to work with the states and ensure that we have actual or early sound rates. We are in a risk corridor position with the majority of our rates, or majority of our states, I'm sorry, that will, you know, help provide downside risk protection, as well as, you know, limit the upside associated with that. It really does balance it very well for both sides of the equation, but you know, your point is well made that you know, that it should change the acuity a bit, but I really do think that the risk corridors that we've been advocating for quite some time, really help address the issue pretty significantly. So, appreciate the question.
Gail Boudreaux: Thank you. And I'd like to thank everyone for joining us for the call today. As we shared, Anthem has shown resiliency and agility in times of great change in our industry. Despite these societal headwinds, I remain confident in our dedicated associates, our strong Anthem brand, and our ability to serve as the trusted healthcare partner of choice for those who need us now more than ever. As we move forward in 2020, we’ll continue to lend our voice and our leadership to shaping a safer, more affordable, and more effective healthcare experience for all we serve. Thank you.
Operator: Ladies and gentlemen, a recording of this conference will be available for replay after 11:00 A.M. Central today through August 29. You may access the replay by dialing 800-568-6411. International participants can dial, (+1) 203-369-3291. Those numbers again are 800-568-6411 and (+1) 203-369-3291. This concludes our conference for today. Thank you for your participation and for using Verizon conferencing. You may now disconnect.